Operator: [Abrupt Start] company’s IR website, where the presentation will also be available. Note that if you need simultaneous translation this tool is available with the globe icon where it says interpretation located at the center lower part of the screen. If you selected choose the language of your preference to the Portuguese or English for those hearing the video conference in English there is the option to mute the Portuguese audio by clicking mute original audio. I'd like to turn the floor to Carolina Sena, Superintendent of Investors Relations. Carolina, you may go ahead please
Carolina Sena: My name is Carolina Sena, Superintendent of Investor Relations at Cemig. We are beginning the transmission of the earnings conference call pertaining to the third quarter of 2022 with the attendance of Reynaldo Passanezi Filho; CEO, Dimas Costa, Chief Commercialization Officer and [indiscernible] Chief Legal and Regulatory Officer, Leonardo George de Magalhaes; CFO and IR Officer, Marney Tadeu Antunes, Chief Distribution Officer; and Thadeu Carneiro da Silva, Chief Generation and Transmission Officer. For the opening remarks, I turn the floor to our CEO, Reynaldo Passanezi Filho.
Reynaldo Passanezi Filho: Good afternoon, good afternoon, cadeau and everyone. Once again, it's a pleasure for us to hold this conference call with the opportunity of discussing with all of you another quarter of consistent and solid results that Cemig achieved. These results are consistent, they're solid, and they are they - verify the suitability of our strategy. It's a strategy of focusing in Minas and winning, making investments in the activities that we know in the territory that we know which is Minas Gerais. And doing that with financial discipline, discipline when allocating funds and at the same time seeking the highest efficiency. So the results once again, prove the success of the strategy. So we'll start with investments. I believe you can see clearly, the recovery of the company's investments, investments listed here on the screen, adding up to BRL 2.2 billion, year-to-date in the first nine months. So if you look at it here, it's more than two times what the investment was in 2017 and 2018. You can see that in nine months, we've invested more than twice as much as we invested on average in 2017 and 18. So I'd say this is a clear demonstration of an acceleration of the investment program. This year will open in the distribution area more than 14 substations with the historical average of six and of course this has, an extremely positive effect of value generation by increasing our revenue generation-based and as a result, increase the company's revenues. Also in generation we have approved and there's a slide about it another 220 megawatts peak in investment projects. So we have a program that is being implemented. It's in implementation it shows the numbers you saw that BRL 2.2 billion and we have new projects already enabled and all of them will strong value generation with clients associated. So here we're talking about the approval of two major projects in photovoltaic plants Boa Esperanca, with 100 peak megawatts and Jusante with 87. In Cemig Sim and distributed generation more than 30 big megawatts and investments in nine photovoltaic plants. So here we're talking about something that is coming of an execution of more than BRL 1 billion in this generation project. So as far as investments, I think this is the message to invest with capital discipline with the adequate allocation in distribution, transmission, distribution of natural gas and in the regulatory market with known amounts known returns. And in distributed generation and generation, always with capital discipline and already linked to the destination of that power to one client or many clients who are known, so all of this is already pre-sold. That is in terms of CapEx now, in OpEx, and operational efficiency, our mantra of being below the regulatory OpEx is something we have been able to achieve since last year, we are remaining below the regulatory OpEx. And that's our commitment - our commitment is to always be below this regulatory OpEx and distribution and in transmission, and also below regulatory losses. And all that is to guarantee an EBITDA that is above regulatory EBITDA so the capacity to generate cash through efficiency. And this cash is then invested in projects with a strong capital discipline, and that will also add value to the company. So this is the overview of the strategy, a lot of capital discipline and the allocation of CapEx a lot of efforts for the gain of efficiencies in operations and maintenance. And this goes for distribution transmission, where we know the numbers better. And our goal was to always remain below regulatory levels. That's the same for generation. And finally, the strategy is completed with our divestment process of leaving minority shareholder positions that takes too much time of our leadership. And that has also consumed too much capital. So that's the strategy that's also been successful. As all of you recognize, we divested in Light and Renova reduced the stake we had in Santo Antonio and this process will continue. So Carol I would say, these are my comments in the sense of reinforcing what our strategy has been, is being to focus in Minas and win with a strong capital discipline, always seeking efficiencies. And focusing our efforts on activities where we understand we have competitive edge and can generate value to all shareholders, and obviously to all stakeholders to society, in the sense of a public service of highest quality. These are my opening remarks. Thank you.
Carolina Sena: Thank you, Reynaldo continue then with our presentation, I turned the floor to Leonardo George, our CFO and IR Officer.
Leonardo George de Magalhães: Good afternoon. Thank you very much for attending our conference call with the earnings of the third quarter. Reynaldo talk about the result that we believe and understand this consistent and talking about the Cemig has always been a reference in ESG practices. ESG is in our D&A. And what we want to highlight this quarter is the issue of the renewable energy certificates that we believe are important certificates that we are distributing to our clients of Cemig Sim. It's the Cemig Sim REC that certifies the renewable source of our energy and fund that clients of Cemig Sim receive. And this improves the reputation the value of this green energy that we're supplying our clients. At the beginning of electrification a part of Cemig vehicle fleet and these new investments that we're making in Jusante and in Boa Esperanca, which are in compliance with our target to invest in renewable energies. This matrix is 100% renewable today 97% of it is hydro power, but our expected investment is to change this matrix, it's going to remain 100% renewable, but with a share of solar power and wind power in our portfolio. Now moving forward, we'll get into the next slide and talk about the results directly connected to the third quarter. So the highlights are on Slide Number 8, where we show that we continue transferring commercialization contracts to Cemig Holding contracts from Cemig GT. This is a strategy we released to the market a while ago that we would be in a continued process of transferring the trading contracts to Cemig Holding because we understand there's a series of benefits there. And we remain in this process. And we've generated BRL 452 million in EBITDA in the first nine months of 2022, due to the transfer of these contracts to - from Cemig GT to Cemig Holding. Cemig D we understand have great results. We'll talk more about it in a while, and adjustments for the provision for doubtful receivables. We believe the methodology is now closer to the methodology used by the market in terms of provision and I sat down And we have also reached 9 million consumers, we're very proud of reaching this number, always focusing on quality and agility in service. And once again, our quality - indicators are within the regulatory standards that we can see historically are the best indicators of the company. That supports Cemig GT the positive impacts of our results due to an agreement related to our investment in Santo Antonio, where the company received BRL 200 million and this cash with a profit effect of BRL 136 million. Due to a negotiation with Andrade Gutierrez, it is about first credits, this effect was very positive. And there's always the foreign exchange effects that was the highest effect of the third quarter close to BRL 1 billion and a negative balance of BRL 68 million in the third quarter. When we get into the details of the nine months results, we see - we understand the results are very positive. Adjusted EBITDA when compared to the year-on-year we see that we have almost 20% of EBITDA increase, the EBITDA of the first nine months is higher than BRL 5 million and net profit adjusted for non-recurring events is also a very positive 50% increase compared to 2021. And another highlight that we'd like to talk about is that the profits for the year of 2021, that is the base for dividends was benefited by some non-recurring events, the recognition of the effects of the renewal of concessions. The increase and the extension of concessions due to the GSF agreements that also lead to a positive effect on the results and this year of 2022, even with the provision of the tax Pasep and Cofins on ICMS that generated an effect of BRL 1.3 billion in our results in 2022. Our profit is very close. So the company's cash generation ability is great and we understand that considering the results presented until November. We're very optimistic with the year's results and our capacity to pay attractive dividends to our shareholders. On the next slide, we'll start the discussion about the quarterly results with a little bit more detail and I'll ask Carolina to continue with the presentation with more visibility and detail on the effects that have affected the results of the third quarter of 2022.
Carolina Sena: Well, thank you Leonardo. So moving on the specific results of the third quarter, we continue to see the effect of the migration of the trading activity to aid Cemig aid. The presentation is consolidated, but we always have this highlight to remind you especially when we get into the Cemig GT slides and looking at the items that affected the results. The non-recurring items still have a positive effect in 2021. Since the reagreement of GSF so excluding effects, we can see that we had an increase in cash burn rate of 4.6% and recurring net income of 56%. As for the company's operational costs and expenses, when we compare quarter-to-quarter, we see an increase of 15.2%, especially related to post employment due to the actuarial report that is annual. So this retirement benefits effect is recurring and it has been increasing our costs and expenses. This is an important item for the company, which we have already addressed and the life insurance side and we're working to address the other items that are part of this retirement benefits the health plan and Plan A of the company's retiree. We also had an increase in personnel expenses. Our salary adjustment at Cemig occurs in November, so November 2021, we had the effect of 11.08% in the salary adjustment, and this increase affects the cost of 2022. And we also had a one-time off increase in cost for investments in 2021. We always also had an increase of BRL 55 million in third-party services that we say it's an important expense because it brings revenue to the company. Since the increasing this expense occurred due to greater investment in the quality of services provided we're implementing the IBM System consolidated all of the company's communication channels, which will bring improvements in communication with our clients, as well as the expansion of the collection agent. Now for our consolidated cash flow, we can consider the company's operating cash generation was of nearly BRL 6 billion. This is extremely important for the moment we are able to deliver a robust, the company's robust investment program as we released to the market in 2021. We're talking about BRL 22 billion in investments in the state of Minas Gerais. We also had during the year, the restitution of fiscal things in the tariff payment of dividends, and payment of loans, without mentioning that of stressing what we mentioned before. With investment of BRL 2.3 billion in 2022 alone, so even with all these factors, we're closing the cash in the quarter, close to BRL 5 billion showing the company's robust cash generation we'll contribute to deliver our investment program. Now as per our debt profile, we can see that the company's leverage has been decreasing since 2018. Our leverage is below one-time in the nine months of 2022. Even with the increase with - of the cost of that, and remembering that we have eurobonds, maturing in 2024. So when we look at our debt profile, we already had the liability management in 2021 with a buyback of BRL 500 million. So there's BRL 1 billion maturing in 2024. And we have already informed the markets that we intend to have another liability management process by 2023 with another buyback of BRL 500 million. So we're keeping track of the opportunities in the market to continue with our liability management. As for the results of Cemig D specifically, this quarter, we already have an average increase of 8.8% of the tariffs. Cemig distribution results adjustment is in May, but there was a delay this year. So we - do not see any effect of this adjustment in the second quarter. The effect is all coming up now in the third quarter. It's important to highlight that looking at Cemig D results recurring we had an increase in cash generation of 9.8%. Even with the loss to GT that in the third quarter, we're closing at 6.1% of revenue loss due to the migration of captive finance to GT. And in net income excluding non-recurring events, we have a recurring net income growing 16% and within the effects and adjustments in this quarter or the highlight of the adjustment of the PECLD methodology and the tax provision for the indemnity for time of service. As for the energy market for Cemig D, we can see that it remains flat quarter-on-quarter with a growth of transport and migration of captive clients to the free market and within captive, the reduction was biggest in the rural customers but many of them migrated to commercial due to a reclassification of the registration head forth by ANEEL. As I mentioned before the D impacts our distributor we are closing the nine months of the year at 6.1 of our market. And even with this loss to GT, Cemig D continues to deliver relevant results for the Cemig Group. As Reynaldo mentioned since 2020, we've been able to remain within regulatory limits, considering regulatory EBITDA, regulatory OpEx in 2021. We were also within the regulatory loss threshold, and this is very important the commitment the company has with the market and with consumers. So by remaining within the regulatory limits, in addition to avoiding the loss of cash, we improve service provision. Since we carry out more inspections, we replace conventional meters with smart meters, regularize illegal connections, all of these initiatives have helped us meet these limits for energy losses to remain within this regulatory targets set forth ANEEL. As for delinquency, that's another very important topic at Cemig distribution. We'd like to point the collection via digital channels, the digital channels have been growing and the company's significantly, this change in the collection mix already represented until the third quarter of 2022 almost BRL 6 million in savings, especially the growth of PIX or P-I-X and automatic debit payment. Our collection index of the accounts that we call ARFA remains very close to 100%. And on the delinquency hiring project, we had two important points this quarter the change in the accounting criteria, but most importantly, it's still reinforcement that we have in the collection tools. So with that, we are able to reduce this expense for the company. As we also mentioned, we are within all of the regulatory targets for Cemig D, we're below regulatory OpEx above regulatory EBITDA and also within limits in losses. And as you can see, this is a commitment that our management has taken and is delivering, which brings excellent returns and improvements for the company. Moving to Cemig GT's earnings results, when we look at the recurring results, we see a drop of 9.2%, but this third quarter, we had some effects that contributed to this drop and a lot of them is the migration of Cemig GT's activities to Cemig H, this migration started in 2021. And in the third quarter of 2022 to BRL 249 million were transferred in this - from the trading activity to Cemig H and looking at the process we see a growth. So within non-recurring activities that impacted this, we talked about it because H was also affected, which is the requirements of the hydrology risk in 2021. And when we look at the side of income, we also have the effect. Now this next slide, we have information about Gasmig, Gasmig semi-consolidates 100% of its results, and we can see a reduction in cash generation and 2022, but most of it due to the smaller thermal dispatch from 2022 when compared to the two thermal power plants that Gasmig owns. So when we look at Gasmig's results, the list has been delivering solid results we always share that Gasmig's recurring EBITDA annually is of around BRL 600 million and this decrease in 2021 as we saw, it was the poor hydrology year until the second quarter. So there was a higher thermal dispatch and there was a higher demand for cubic meters of gas. But the recurring results continue to perform within expected. And now for this next slide, I'll turn the floor to Leonardo George, where we have the commitments that we made, and we like to reinforce it with the market.
Leonardo George de Magalhães: Thank you, Carol. So it's the last slide as we can see it does make even with the reduction of power distribution it's still good result. And here on this slide, we always like to present the commitments that we've made with our investors and stakeholders, the evolution of the company's management. We have the commitments that have already been met, such as the Cemig remaining within the main efficiency, regulatory indicators of financial efficiency and quality of the service that we provide to our clients. And the partially matters divestment in non-strategic assets. We've been able to divest and at Light and Renova. We reduced our share in Santo Antonio, we understand that those assets most of this target has already been met and restructuring of the retirement benefit plan, we are halfway through the restructuring process. So in the short to medium term, we expect to present you with good news about the effect that this will have in our P&L. Digital transformation and technology investments, the highlight being our agreement with IBM that's already having a positive effect in the quality of the service we provide to our clients, and the ongoing commitments are the renewal of concessions, that's something we follow very closely, we're attentive to the possibilities related to the renewal of our concessions, the Sao and Emborcação Nova Ponte the two largest ones, our investment in generation of renewable sources, wind and solar, that's part of a strategy and the retail trading aspect and the opening of the energy market in Brazil, where Cemig understands that there is an opportunity for value generation. That's what happened in the opening of the free market in the 1990s. In here, we believe it's another opportunity that Cemig has, and we're keeping an eye on it so that we can generate synergies and continue with our trading activities to be able to make the most of the opportunities when this market opens. So that's basically what we had to present and summarized earnings of the third quarter. We understand that as we said, the results have been very consistent and we are now available to take any questions that you may have about the earnings results and the company's operations.
Operator: [Operator Instructions] So our first question Andre from buy, sell side analyst Santander. We will open the audio for you to ask your question. Please, you may go ahead.
Andre Sampaio: Good afternoon. I have two questions, the first about the level of leverage that really has decreased greatly. And I'd like to hear from you if we could expect an increase in terms of payment of dividends of this space is going to be used - for the growth in the investments planned. And the second question about the timeline. What still has to be sorted so we have the divestment process and the solution of the retirement liabilities if you can talk a little bit about the timeline for these two items? Thank you.
Reynaldo Passanezi Filho: Andre, thank you for your questions. About your first question, our strategy we understand that we have a robust divestment program for the coming years as we believe, most of them in the first few years, our investments within regulation in our distribution and transmission concessions, and we understand that the way for us to fund these investments in a sustainable way, maintaining our leverage close to our policy, that would be two times our EBITDA. We understand that maintaining this policy of 50% payout is the best option. So we understand that if we maintain the dividend payout of 50%, as we have in our bylaws, were the important investments we're making in renewable energies and Cemig D and the transmission concession. We allow leverage to remain at level we believe are adequate and this dividend that last year was close to 8.5% the dividend yields. We believe this is adequate to properly remunerate our investors. So we understand that this strategy makes sense. Investments that generate revenue that create value maintaining leverage in proper levels and paying dividends a 50% of payout we believe it won't be more than that. That's not what we're planning more than 50% of payout we understand. But the 50% is adequate about the timeline when we're going to present the results of the retirement benefit issues. We've been talking a lot about this for a while, but they are structural aspects that involve discussions with consultants, legal discussion discussions with unions that represent the interests of active and retired employees. So this process takes some time. But just as we did in 2021, we have already reverted the balance and the issue about life insurance, we paid 50% of the cost for retired employees that has already brought a positive results. In 2023, we believe we'll also have positive results related to the pension plan, migrating the participation in a new plan. We believe this is important by the end of 2023. We believe we'll be able to present this result in our P&L and the retirement benefits involving pension plans. We believe that in 2023, we will start presenting positive results. Of course, it depends on how the negotiations go, but we understand that we have reason to be optimistic. So that next year, we'll start to see positive results already. As far as divestment as we mentioned before. Some assets, where we had more difficulty selling we were able to sell, such as the Northern Light. Now we have Taesa that we've manifested interest in selling for a while. And we also expect that in the next year, we can accelerate this process. But it's hard to give you a forecast of when this is going to happen. But now we're talking about capital relocation, Taesa is a very relevant asset. It's a very good asset a company with a great reputation in the market and if we have the opportunity to sell those assets and relocate the capital. For our new investments, we understand that it makes sense and it is within our strategy, although there's difficulty defining it. Now about a timeline for this process, considering all the specificities involved in the sale of an asset of this size. I don't know if Leonardo has anything to add. But I understand that these are our basic assumptions on these topics. I think that's it low M&A. M&A is not something that we can anticipate, but the fact is that all these assets the decision to divest as public.
Andre Sampaio: Excellent Thank you.
Operator: [Operator Instructions] If there are no further questions, we close the Q&A session and I'll turn the floor to the company's CFO and IRO Leonardo George de Magalhães.
Leonardo George de Magalhães: I would like to thank you all for your participation that our event. Once again, we understand our results have been good and we are optimistic for the company's future. We understand that quarter-on-quarter the company is delivering its commitments to the market. We expect that we will soon be able to hold our Cemig Day. We're defining the date and the conclusion of the strategic plan we'll be able to talk about this strategic plan to the market in detail, seeking to show the market with clarity what our objectives are. We understand that in the past few years, we've been able to deliver a lot of our targets and commitments and we're optimistic that we'll continue to do so in coming years. And for that we understand that Cemig Day is an important day. When we'll be able to talk closer to the investors all of the company's leadership and we will soon be able to announce this date and we would like to count with your presence there. Thank you once again for your participation in our earnings call.
Operator: Cemig's third quarter of 2022 conference call is now closed. The Investor Relations Department remains available to answer any doubts and questions you may have. Thank you to all participants. Have a great afternoon.